Jessica Uhl: Welcome, everyone, to our First Quarter 2021 Presentation. In 2020, we adapted to extraordinary circumstances. We took the decisive measures that were needed to create value today and set us up to create value tomorrow. And in February, at our Strategy Day, we presented our plans for the future and laid out our investment case. So, today I will share how we are delivering on our strategy while, at the same time, delivering strong financial performance. And finally, I will highlight our commitment to transparency, as demonstrated in the various disclosures we made in the first quarter. Let me start with the delivery of our strategy. Our strategy, called Powering Progress, seeks to continuously create value now and in the future for customers, society, and shareholders. Today, we will mainly focus on one of our investment case goals of delivering shareholder value. We plan to do this by accelerating our transformation into a provider of net-zero-emissions energy products and services. That means creating innovative business models, especially in our customer-facing businesses, in our growth pillar. And we are already making progress. In integrated power, for example, we announced the acquisition of Next Kraftwerke, a German company that specializes in operating virtual power plants. A virtual power plant takes the power generated by thousands of homes and businesses and uses a sophisticated control and trading system to supply that power to the customers who need it. For us, next Kraftwerke is a step in the direction of combining a new, capital-light, and attractive business model, like a virtual power plant with our established competitive advantage in trading. And that is how we intend to develop our portfolio, by bringing our strengths to innovative business models and creating value as we do so. This also brings our integrated power business closer to the aim of doubling the amount of electricity we sell to customers as we look to reach 560 terrawatt hours a year by 2030. And in our upstream pillar, we also made progress toward delivering on our strategy. We are focusing our portfolio on nine core positions while continuously high-grading this portfolio to high-margin barrels. Today, our core positions generate more than 80% of upstream's operating cash flows. And in line with our strategy, this quarter, we announced divestments of some non-core shales assets in Canada, as well as conventional oil and gas assets in Egypt and Nigeria. By focusing our upstream portfolio on its core, we are simplifying our operating model and generating more cash from our barrels while remaining strongly positioned to gain from sustained upside in commodity prices. As a general rule, for every $10 increase in the average price of Brent over a year, we generate $4 billion more cash in upstream and $1.2 billion additional cash in integrated gas. And for every $10 per barrel increase in JCC-3 prices, we generate another $1.2 billion in cash in integrated gas in a year. In summary, we generate a total of $6.4 billion more cash for every $10 dollar per barrel increase in Brent and JCC-3 on a post-tax basis. On May 25, our upstream director, Wael Sawan, will share more details with investors about the upstream pillar and the important role it plays in Shell's strategy and what we are doing to sustain material cash flows from the upstream business, structurally reducing risk while, at the same time, improving returns. This brings me to our financial performance in the quarter. Commodity prices and energy demand improved in Q1. Our financial performance for the quarter was strong, even though our results were hit by the Texas winter storm, which had an overall negative impact of some $200 million on our earnings, including credit risk provisions. Our adjusted earnings amounted to more than $3.2 billion. Our adjusted EBITDA was almost $11.5 billion on a CCS basis. And we delivered nearly $12.7 billion of cash flow from operations, excluding working capital movements. We reported $3.4 billion of divestment proceeds this quarter, and including announced disposals, we have already achieved our target of $4 billion on average for the year. This strong financial performance allowed us to further reduce net debt. Our net debt decreased by $4.1 billion during Q1 despite an outflow of $4.4 billion in working capital. Our net debt is now $71.3 billion, and our priority remains to reduce it further to $65 billion. And once we reach this milestone, we aim to distribute, in aggregate, 20% to 30% of our cash flow from operations to our shareholders. Also, as previously announced, we are growing our dividend per share by 4% this quarter, and we plan to grow it at a similar level every year, subject to board approval. Let us now look in more detail at some of the key factors behind our financial performance in Q1. Our strong adjusted earnings were driven by an outstanding performance from chemicals, resilient earnings from integrated gas and oil products, and robust results from upstream. These earnings reflect an improved environment for commodity prices, chemicals, and refining margins and higher contributions from oil products trading compared with Q4 2020. And our cash conversion was once again strong, especially in upstream, which shows the resilience and high quality of our upstream portfolio. We also saw a positive impact from derivatives in integrated gas but lower cash flows from dividends from joint ventures and associates compared with the fourth-quarter 2020 due to the timing of those dividends. And there was a $4.4 billion working capital outflow in the quarter, largely driven by the increasing price environment. We have been leading our peer group on cash generation for four years in a row now, thanks to the quality of our portfolio, the diversity of our cash generation, and our relentless capital discipline. And we are future-proofing our portfolio to continue generating competitive cash flows as the energy transition unfolds. So, we are delivering our strategy. At the same time, we continue delivering strong financial performance. And it is important that we remain transparent about both our strategy and our performance. This brings me to my third highlight of today, transparency, because being transparent is key to maintaining and building trust with all of our stakeholders: trust from our customers who buy our products, trust from society that gives us a license to operate, and trust from our investors who choose to have Shell shares in their portfolios. In the first quarter, we published a comprehensive set of reports with enhanced disclosures for even more transparency. Amongst these materials, we published our Sustainability Report and Payments to Governments Report, showing where and how our activities contributed to the countries and communities where we are present. We also published the Shell Energy Transition Strategy, which lays out the steps we will take on our path to net-zero emissions, and for the first time in the sector, it will be submitted for advisory vote at our next AGM. We have also significantly enhanced our voluntary financial disclosures in our quarterly databook this quarter, providing more insight into how each of our business segments contribute to our financial performance. This will provide additional details that will be helpful for understanding and modeling the value of all of these businesses. I invite the investor community to join the webcast on May 4 to hear more about these financial disclosures from the CFOs of each of our segments. So to conclude, in 2020, we effectively managed near-term challenges. At the same time, we thoroughly assessed our businesses and capital framework, and we refreshed our plans for the future. And in 2021, we are putting those plans into practice. We are already delivering on our updated strategy, Powering Progress. At the same time, we are also delivering strong financial performance because it is through our financial strength that we can invest in the businesses that will generate cash far into the future, strengthen our balance sheet, and increase shareholder distributions. And finally, we take our stakeholders with us as we transform by growing trust and remaining committed to transparency. Our strong performance in Q1 was driven by the strength of our strategy, portfolio, and operations. And we are transforming our portfolio to continue delivering competitive performance in the future, starting from a very strong position. We have a unique platform to provide what our customers want and need. We have scope and scale that few others can match. We have a network of high-quality energy assets that allows us to achieve superior value. And we have a strong upstream business delivering significant value for years to come, generating cash for shareholder returns, and also funding our transition. These are fundamental to our investment case to grow value for our shareholders today and tomorrow. Thank you.
Operator: Welcome to the Royal Dutch Shell 2021 Q1 results announcement Q&A session. Today's session will be recorded. [Operator instructions] I would like to introduce Ms. Jessica Uhl and Mr. Wael Sawan.
Jessica Uhl: Welcome, everyone, to the live Q&A on Shell's first quarter 2021 results. This quarter's performance is a result of the strength of our portfolio and how well-positioned we are for the economic recovery. Starting from today, we will bring different business directors to the quarterly live Q&A to give you an opportunity to hear directly from our business leaders. So, today, I'm joined by Wael Sawan, our upstream director. With that, let's move to questions, please. Could we just have one or two so that everyone has the opportunity to ask a question? Operator?
Operator: Thank you. [Operator instructions] We will now take our first question from Oswald Clint from Bernstein. Please go ahead.
Oswald Clint: Thank you very much, Jessica and Wael. A question for both of you, please. I'm really helped by all the new data this morning. So, Jessica, on refining and chemicals, it looks like, I mean or do we need to get your indicative margin to back up closer to the $5 per barrel level to really eradicate the losses you're still seeing in refining. It doesn't look like you can do too much in OpEx. And I wouldn't mind if you commented on any material RINs impact that you're suffering in. And then on chemicals, could you describe really the margin strength you're seeing? Would you characterize it as demand-led across your products and businesses? Or is it a function of the Texas freeze and some of the deep cracker maintenance that you're seeing? And then my second question really for Wael, it's a cold -- it was a cold quarter. It's turning out to be cold again potentially this quarter. And I'm looking at European upstream business. You used to be able to pump that, really get some seasonal volumes up 2, 3 Bcf a day. You're currently only doing 1.7 here in the first quarter. I mean, I know Groningen has curtailed quite a bit over the last couple of years, but could you talk about your seasonal flexibility in your European gas basin to capture cold spells, please? Thank you.
Jessica Uhl: Great. Oswald, thanks for the questions. I'll start with the first and then hand over to Wael. So, in terms of the margin environment and the impact on the bottom line, indeed, we saw improvements in our margins in the first quarter, certainly from the fourth quarter of last year, but they're still at relatively historic lows for the sector, and that's clearly having an impact on our bottom line. So, getting back more toward the kind of normal steady-state, which is a couple of years ago, three or four times what we're currently seeing today, and that will have a material impact on our bottom line. In terms of chemical margins story, it's a story of the strength of the intermediates, primarily where we saw styrene monomer going up to over $1,100 a ton during the quarter. That was for a short period of time. It then came back down to more normal levels, but that certainly helped the chemical business, as did some other intermediate sectors as well. That is a function of demand and some strengthening in the economy, certainly in Asia, that's driving that. But I'd also say that the strong chemical results were also a function of actions we are taking within the business to drive sustainable increased margins for that business. We've retooled our kit in terms of its capacity to use different feedstocks and to produce different products. And we're also seeking new customers in new markets. And that contributed some $100 million to $200 million of increased margin that we experienced in the quarter outside of what was happening from a macro perspective. Wael?
Wael Sawan: Thanks, Jessica, and also, thank you for the question. Indeed, we do have the flexibility to be able to ramp up. And actually, you see it in the seasonal ramp-up, for example, going from this quarter to what we're guiding around next quarter. NAM alone, our Netherlands asset, could swing in the equivalent on a barrel -- of board equivalent basis, around 150,000 barrels a day. That swing, we use. But of course, we also supplement it with LNG imports, and we try to use our multiple different supply points to be able to make sure that we fulfill those demands. I wouldn't say there are massive differences from where we were in the past. I think it's just a function of where the markets are, and we'll respond to those market realities as they emerge.
Oswald Clint: Okay, very clear. Thank you.
Jessica Uhl: Thank you. Next question, Holly.
Operator: Thank you. We'll move to our next question from Christyan Malek from JPMorgan. Please go ahead.
Christyan Malek: Hi, Jessica and Wael. Thank you for taking our questions. I have two, please. First of all, just around the capital frame, the scope for delivery of below $65 billion net debt threshold. How do you see that accelerated prevailing macro levels? In other words, what extent could a macro mark-to-market, including gas refining, accelerate timing in reaching the $65 billion net debt threshold? And once reached, can you just sort of remind us what the terms of where cash return will out turn within the guided 20%, 30% of cash flow including working capital range? The second question, Wael, it's great to have you on. In your recent Energy Transition Strategy Day, it was said that the planned capital investment of $8 billion in the upstream business in the near term is well below the investment level required to offset the natural decline in production of your oil and gas reservoirs and will not sustain current levels of production. Now, that concerns me only because having back to my first question, you lower your net debt, we're all looking forward to cash return. Should we be surprised or concerned that we could see a major hike in upstream capex over the next few years? Or what you've guided to is essentially the level that we should incorporate and, therefore, the free cash flow that you're ultimately going to generate is really is truly free, so to speak. Thank you.
Jessica Uhl: Thank you, Christyan. And I'll start with the first question and then hand to Wael for the second. In terms of our delivery against our ambition -- or target to get to $65 billion of net debt, great progress in the quarter. As you see, net debt down by some $4 billion, that being driven by the strength of delivery of our portfolio of our operations with working -- cash flow from operations, excluding working capital, of some $12.7 billion, with a very mixed macro. We had strong Brent prices. But of course, as just mentioned earlier, the refining margin is higher than the fourth quarter but still quite low. And then the marketing business from a volume perspective also not as strong as we've had certainly on a steady-state basis. So, again, a mixed macro, very strong cash generation, which drove that net debt reduction. And so very pleased. And I think that can accelerate improving the balance sheet at a pace certainly faster than we anticipated last year in terms of the pace of the recovery we're seeing in prices and margins. We don't have a specific timeline in mind in terms of achieving that $65 billion. We want to do it sooner rather than later. But we want to absolutely achieve it, and we want to achieve it in a way that's sustainable. So, it's not something we just kind of touch and move away from but where we actually structurally are in a better place, and that is expected to be sustained as we look forward. In terms of the 20% to 30%, we think that's a good range. Of course, it's going to be driven by the actual circumstances. So, the strength of performance when we reach the $65 billion in our outlook will influence where we land in that 20% to 30% range. I hope we're in a very healthy position and we can have a healthy start to that next step in our capital frame program. The last thing I'll say before I hand over to Wael is that we're looking to do to take each step with respect to our capital allocation in a disciplined and measured way. So, the first priority in that next step is shareholder distributions. That is our first priority in terms of shareholder distributions. That's how we've structured it. We'll then look to increase capital and continue to strengthen the balance sheet. But each of these pieces will be done in a measured way. We're not going to kind of swing from one place to another. And I think that measured approach will be important for us in the coming quarters. Wael?
Wael Sawan: Thanks, Jessica. And, Christyan, thank you for the question. I think let me just step back for a second. I mean, the fundamental role of the upstream pillar within our strategy is to deliver that free cash flow for the group, both to be able to fund the shareholder distributions but also to be able to fund some of the growth ambitions we have in our growth pillar. The way we are positioning ourselves is to be able to have anywhere between $7 billion to $9 billion of capital through the cycle. So, we want to make sure that we are not under-investing or over-investing. We're trying to be steady in the way we are disciplined in the way we are allocating capital. What we tried to also indicate is that our value over volume strategy means that not every single barrel is equal. We want to try to focus on the most attractive barrels in our portfolio. And you see us making the moves, including, for example, some of the divestments we announced in the past quarter, to really focus our barrels on the ones that we feel are differentiated and are our core positions. As we look forward over the coming months and years, we anticipate that our capital will continue to be within that range of 7 billion to 9 billion. And that we will make choices to high-grade portfolio opportunities, new capex, or new growth opportunities by staying within that 7 billion to 9 billion. We've also, of course, guided that any incremental step-up in capital after we get to the $65 billion net debt, 50% of that will go first and foremost to the growth pillar. And so it's important that that frame will continue to be applicable as we go forward.
Jessica Uhl: All right, thank you. Next question, please.
Christyan Malek: Thank you.
Operator: We'll now move to our next question from Lydia Rainforth from Barclays. Please go ahead.
Lydia Rainforth: Hi, and good afternoon, guys. Two questions if I could. The first one, Jessica, in the remarks from the video, you talked about the virtual power plant that you've bought over the course of the quarter. Can you just walk through how that actually works in practice and the additions that it might make it toward cash longer term and how that actually makes the profitability? And then secondly, Wael, on the cost side, if I look at the cost per barrel in the upstream, they don't really seem to have changed very much, looking at the disclosure. Is that a fair characterization? Or was there just something in the quarter that meant that this is probably the level that we should be looking at going forward? Thanks.
Jessica Uhl: Great. Thanks, Lydia, and I'll start with the first question again, and then hand over to Wael. So, the next craftwork purchase of the business in Germany, part of our Power business and building out that portfolio, really interesting opportunity for us and an interesting business model. So, you don't hear a lot about these virtual power plants. What is it trying to do? As we are building out the renewable power infrastructure, part of that is distributed power, people having solar panels on their homes, or small-scale wind in some circumstances. And that individual power source may be more or less needed during different points of the day. And you may have other customers outside who don't have access, don't have those same assets at their own home, who are also interested in renewable power source as well. So, the concept is how do you drive the right level of efficiency, create markets where that renewable power, when it's available, can be made available to the customers that want it. And that requires coordination. That requires technology. That requires innovation from a business model perspective to match demand with supply. So, it's an interesting new concept that's being developed within the power sector. Again, using existing assets and trying to drive as much value from those assets as is possible. It's a good example of when we are electrifying the energy system, how these new technologies will need to be developed and these new flows of energy will need to be developed in order to make the most use of the assets that are put on to the grid and, as I said, match customers with supply. So, that's the concept. And we're looking forward to driving good returns with this concept as part of our lower our overall power strategy. Wael?
Wael Sawan: Yes. Thanks, Jessica. And Lydia, thank you for the question. I think it's important when we look at the unit operating costs to look at the underlying operating expenses. Indeed, the headlines are relatively flat. For example, if you look to Q1 of 2020, and that's partly because they are loaded with things like reshape provisions and the like, which is our restructuring. If you take the underlying cost, we have gone down by around 10% over the past year. And we are on a glide path to achieving roughly 20% to 30% reduction in our cost structures by 2025 when compared to 2019. Some of that cost reduction has indeed happened over the past year. We see more potential, of course, as we restructure the organization at the moment, which is what we're going through at the moment. We already see significant costs coming out. And we look to continue to, for example, leverage digital opportunities where we continue to leverage some of our contracting options to be able to bring those costs down. We're also, of course, seeing some cost removal as we divest assets, and we're trying to make sure to manage our overhead structures in line with some of those divestments to make sure that our unit operating costs move closer toward the $7 a barrel that we are targeting. If I could just share maybe one example is in our Shales business, which actually was slightly ahead of the Shellwide restructuring effort. And there, what we have seen over the past year is a 30% reduction in the overall costs. And that has already started to feed straight into the bottom line. And you can see it, for example, in the Permian, where we've now had three quarters in a row of positive free cash flow. So, we're seeing these examples, and now we're trying to expand it across the organization, not just in upstream but much more broadly across the organization.
Jessica Uhl: Thank you. Holly, next question, please.
Operator: We will now move to our next question from Michele Della Vigna from Goldman Sachs. Please go ahead.
Michele Vigna: Thank you, very much. Jessica, two questions for you if I may. When you started the buyback the last time around, you had a gearing target, but you started the buyback when you thought you had line of sight for reaching the gearing. I was wondering, would you use a similar framework this time around with the $65 billion of net debt in mind? Or would you want to actually reach it before you would start the buyback? And then my second question really is about your cash flow in the quarter, which was exceptionally strong and which really outperformed the EBITDA, the earnings. I was wondering if perhaps you could lay out some of the moving parts there that really drove such a strong cash flow. And how much of that you think can continue in the coming quarters versus what was quite unique to Q1? Thank you.
Jessica Uhl: Great, thank you. Thank you, Michele. So, on the first question with respect to the $65 billion target that we're seeking to deliver on, we're looking to absolutely achieve it and to achieve it comfortably. And so to be at or below $65 billion before we start the share buyback program. And we want to be well-positioned for change in different potential outcomes so that strengthened balance sheet is sustained as we move forward with our capital allocation program. And as you see from the cash generation in this quarter, I think we're well placed to move toward that sooner rather than later. In terms of the strength of the cash flow, I'd start by saying that I think this quarter reflects the quality of cash flows we've been generating for the last few years, frankly. And it is the outcome of strategic choices we've made, portfolio choices we've made, and the quality of our operations across the company. The cash flow is coming from each of the businesses. You can see that, so it's not just one part of the business that's outperforming but really strong cash generation from upstream, integrated gas, chemicals, and oil products. There is some macro help in there, which we've referenced earlier in the conversation, certainly, on the upstream side, the return to above $60 has helped. Integrated Gas, there's been some help, but it's a bit of a mix because JCC-3 was at some $40, $44. So, we're not seeing the full effect in terms of the macro positive impact on IG yet, and yet we're still generating significant cash from that business. Similarly, marketing, very resilient earnings, and cash generation in a very mixed macro, where the volumes are down, the margins are softer than they were in the fourth quarter but yet we're still generating very strong earnings and cash flow. So, I think, first and foremost, our cash generation is a reflection of the strength of our company, our assets, our people, driving those financial outcomes. That being said, there were some -- a couple of favorable elements to our cash generation this quarter. We did have some inflow from our derivatives of some $600 million in the quarter that helped. We had a little bit lighter cash tax payments in the quarter as well. And of course, you have the COSA effect. So, if you take those things into consideration, in terms of those providing some benefit in the quarter, and say in this macro, kind of the steady-state cash flow from operations is somewhere from $10 billion to $11 billion. So, I think, again, a very strong outcome no matter how you look at it, particularly given that I think there's going to be more upside potential, particularly in our oil products business as the margins hopefully return as the economy strengthens. And as Wael said, we're doing great with the upstream business and integrated gas, there's still opportunity in terms of further macroeconomic improvements, generating even further cash. It was relatively light from a trading contribution perspective this quarter. So again, that's further upside for us on these cash generation numbers. Hopefully, that's helpful. I think I answered both.
Michele Vigna: Very clear. Thank you.
Jessica Uhl: Thanks. Holly, next question, please.
Operator: We'll move to our next question from Jon Rigby from UBS. Please go ahead.
Jon Rigby: Thank you. Hi, Jessica. Hi, Wael. So, a couple of questions. The first is just on integrated gas. There was a long period of time where you made a consistently high number that was probably, on a whole, better than people expect it and is about harking back, you were sort of the smartest guys in the room in this thing. And yet the last three quarters, two of which, I think by common consent, have had some unusual conditions in them, you actually reported quite poor trading results. I just wanted to understand, is that just unfortunate? Is there increased competition? Are your competitors getting smarter? Is there a structural issue starting to emerge in that business because it has been a differentiating business for you for quite some time? So, I just wondered whether there's any sort of diagnosis you can give us on that and some reassurance that things will normalize. The second question is just to go back to the points that you made about the buyback and the trajectory toward it. I don't expect you to sort of fill in the gaps, but I think the points that you make are right is that although cash flow was very strong in the quarter, there's actually quite some weak spots in it as well sort of from a macro perspective. As we stand here right now, you'd probably guess that 2Q macro is going to be better, not worse. And obviously, there's some moving parts around working capital, as I said, that you could expect. But on a previous call of one of your peers, the peer CFO said that the management within the organization are very incentivized around working capital. And it would seem to me that a reasonable person could make a projection over 2Q and come to a point where working capital could easily be the balancing point between whether you hit 65 or not. And I think common consent would say that one of the issues on your shares is the free cash flow yield is not being represented in the market because your dividend yield is so -- or your dividend payer. So, what I'm trying to get is a measure, a metric, or an acknowledgment that some of the achievement of that 65 is within your own control and how incentivized you are to hit that number? Because fairly clearly, I think it would add value to the business if you were in the market buying back stock. Thanks.
Jessica Uhl: Great. Thank you, Jon. Two important questions. Starting with integrated gas. The business continues to perform overall very strongly. And while in the last couple of years, there have been a number of quarters where we have achieved, as you said, some exceptional results. I've tried to be clear in those quarters to note that these were relatively exceptional quarters. And that capability and that capacity for those exceptional quarters still exists within our business and within our company. That's a function of the capability of our trading and optimization organization, as well as the quality of our assets. However, in this quarter, that didn't come true. And so certain quarters, that has been true. And I think more -- it's more true on average than not. But in this quarter, that didn't happen. I don't see anything structurally to be concerned with. There's a bit of an operational mix set of effects in terms of where cargoes are sourced and what kind of flexibility is on offer and the market conditions. There were some spikes in the quarter in terms of pricing but very few trades going on around that pricing. So, it wasn't a kind of long-sustained opportunity set or an opportunity set where many participants were able to play. So, I think it's a market circumstance. There's a bit of kind of portfolio and operational considerations as well. But the fundamentals of the business, I believe, continue to be very strong. And what is perceived as a somewhat weak quarter, we're still generating over $3 billion of cash excluding working capital and over $2 billion of cash with working capital and what is still a somewhat softer macro, particularly from a JCC-3 perspective. So, I think still very respectable results from the integrated gas business and a lot of strength in the fundamentals of that business that I think we'll continue to benefit from. In terms of the share buyback and the drivers of cash flow and how that might unfold, important to continue to focus on the fundamentals of the company and the cash generation that we saw in the fourth in the first quarter continues the trend that we've achieved over the last four years, which is the highest cash flow from operations generation of anyone in the sector. If you look at 2020 in total, it was 50% higher than the next closest peer. And so the substance, the fundamentals of the company continue to be very strong and continue to demonstrate that strength in our cash flow generation numbers. Working capital, I'm not concerned with at all. The number is relatively high this quarter. We are one of the largest traders in the world. We are one of the largest companies in our sector. And so that quantum is not -- is consistent with the company that we are. Importantly, we manage working capital very carefully. We demand high returns on the use of working capital. So, those are good value-accretive decisions. And managing working capital can be a tricky business for our company. You either might look for financing and someone to finance your receivables. That's usually more expensive financing than you can get. And then if you try and trim your inventory or your volume, you may be trading off opportunities in the market. And to do that for one quarter to look good or to manage a number down hasn't been a priority for us. We stick with the fundamentals and working capital sorts itself out. And I believe that will continue to be true, and I'd like to use working capital primarily from a value orientation -- oriented perspective, which is how we currently run it. And I think the substance of this company and the level of cash generation will allow us to sustainably achieve the $65 billion at the right moment in time, and then we can act from that position. Thank you, Jon. Next question, Holly.
Operator: We'll now move to our next question from Martijn Rats from Morgan Stanley. Please go ahead.
Martijn Rats: Yes. Hi, hello. I've got two questions if I may. First of all, Jessica, I think this is probably for you. I wanted to ask about the rise in IPO. About a month ago or so, there were some headlines suggesting that that might be in the cards, and I think there's been some Reuters, Bloomberg coverage saying that a number of banks have been sort of tapped, so to say. So, that process seems to be ongoing. And I was wondering if you could say a few words about it. What is that something that Shell is driving? Or is it just your JV partner, Cosan, who's sort of driving this? Could Shell stake be diluted or not at all? And also, if this is successful, could this be sort of a template then for other sort of types of assets that you Shell might own? And the second one is probably for a while, just a fairly straightforward question about the Permian. Look, we've seen a very strong rebound in the Permian rig count, frankly, to be honest, the Permian rig out is rising like its 2016. But the exception there is the majors, including Shell, barely added any rigs. I think Shell is operating three rigs or so as far as I can see. And I was wondering what thinking is about the Permian and activity levels.
Jessica Uhl: Great. Thank you, Martijn. Let me start with Raizen and then hand to Wael in the Permian. I'll start, first of all, that Raizen is an important partnership for us. It's been a very successful partnership with Cosan, our partners in the venture in Brazil, making us a leader in terms of ethanol fuel production globally. And so in terms of the presence in the value chain, it's been very important to us, particularly given our strategy going forward with respect to low-carbon fuels, and it's been very successful financially as well. So, we're very pleased with the nature of the partnership and the performance of Raizen over the last number of years, probably about 10 years now. We've made an important acquisition through Raizen, which expands our production. So, we remain very committed to that partnership and to that entity. Our partners have -- often are looking at different ways of financing the entity, and some of that may get out into the news. But what I want to communicate is that the Raizen venture is successful. We're expanding it. We see it playing an important part in our portfolio going forward. And we want to leverage that not only in Brazil but more widely in terms of our low carbon fuel approach. And so kind of no interest in terms of any material change in our participation in that business. So, with that, I'll hand to Wael.
Wael Sawan: Thank you, Jessica. Martijn, thanks for the question. I think inevitably, you are seeing an uptick in the activity at the moment. In the Permian and beyond, I mean, if I compare the number of major projects across the oil and gas industry right now, we're getting closer to 25 FIDs this year versus 10 last year. Having said all that, 25 is still half of what it was pre-COVID. And I suspect if I if one looks at the numbers around the number of rigs, while we've seen a big step-up over the past few months, it still is well below where we had seen in pre-COVID in terms of the Permian, specifically. I think you have a number of different dynamics at play, Martijn, at the moment, including, for example, players who are trying to bring production to be able to against their hedges, you have the multinationals, as you rightly said, have been very, very clear around value over volume. At least in Shell, we are very focused on making sure that we can sustain healthy organic free cash flow coming out of the Permian. We do have some three to six rigs on any day because of our NOV share as well. And we are -- we continue to be very measured in our approach because our No. 1 priority continues to be making sure that we get to the net debt levels, and that applies to all of our capex across upstream. We are really focused on the highest value opportunities that allows the value creation in the short term. Who knows where the Permian is going to go over the coming months? I think the noise across the patch right now is enhanced discipline. We see that in our NOV -- in our non-operated ventures, so with our other partners, we see a much more disciplined approach to it. And I hope that continues because I think that's going to be a key part of beginning to see the value coming out of shales for the industry.
Jessica Uhl: Thank you. Holly, next question, please.
Operator: We'll now move to our next question from Biraj Borkhataria from RBC. Please go ahead.
Biraj Borkhataria: Hi. Thanks for taking my question. Two, please. The first one is on your transition strategy. Because you're incorporating scope three, thinking about the business mix, you sell four times more oil than you produce and gas. I think the ratio is kind of two to three times. So, just thinking about, as you build up your low carbon business, is there any reason why that ratio between offtake versus equity electrons can be higher than that four times? Because when I think about your 2030 electricity target and how much generation you might need, there's obviously a ton of capital flowing toward low carbon generation, and there's likely to be a tad more capital lightly of getting to your target. Just wanted to get your thoughts on the ratio of that. The second question, just to follow up on the Permian. While you mentioned free cash flow generation for three quarters in a row, obviously, that's on a relatively low rig count. Could you confirm whether you would have generated free cash flow if you assumed the amount of rigs required to hold volumes flat? Or do your current production reflect that? Thank you.
Jessica Uhl: Great. Thank you, Biraj. Just to mix things up, I'm going to ask Wael to go first. And then I'll --.
Wael Sawan: Sure. Thanks, Jessica. Biraj, thank you for the question. I think it's important to say that this is not the first time we have free cash flow generation from the Permian. Before the COVID macro realities, we were already running free cash flow positive for a number of quarters in the Permian. And of course, you're always -- it's always a stance. We're trying to make sure that we are both managing the sustainability of that cash flow potential through managing the production, while at the same time, trying to make sure that we generate -- we invest efficiently to be able to keep that plateau going. I would say that we have not typically ventured too far away from the sort of five to 10 rigs. And so we would be in a space where we are able to continue to generate organic free cash flow, albeit a smaller amount if we were to try to fully sustain. Let me make a point, over the last 12 months, we have seen a small dip in our Permian production, roughly 20,000 barrels a day or so, and that has been driven, indeed, by some of the cash preservation measures that we took in 2020. We now feel that on the investment basis we have going forward, we can at least sustain and choose when to step up further production in the coming months. But as I said earlier, we're being very cautious around when we do that. And we're also just trying to keep an eye on the overall supply chain and make sure that we are positioned to benefit from the supply chain opportunities in the market now. That may not be there in two, three years' time if further inflationary pressure kicks in. And so that dance is what we're trying to manage at the moment. Jessica?
Jessica Uhl: Great. Biraj, so back to your first question, and hopefully, I'm understanding the essence of the question. And if not, you can let me know or let the team know. I think the way you were framing it in terms of how we run Shell today and the business model that we deploy, which is that we sell more than we produce, speaks to how we create value today, how we are able to leverage our integrated value chain to some extent but also through trading and supply, find further ways to optimize. Whether it be inputs into refining and chemical assets or the outputs and, importantly, the end products that we sell. We do that today in our oil and gas business around the world. When we think about the energy transition and we think about power, we have that same model in mind. And that's part of what we've been conveying in terms of our power strategy that we don't necessarily need to build and hold and maintain capital in the generation assets in order for us to achieve our ambitions in terms of the amount of electricity that we look to sell over the coming decades. And a good example of how this can work in practice that I've given is our asset here in the Netherlands, Blauwwind, where we have some 750 megawatts total generation. We went into that at, say, 40% equity level. We have sold that down to 20% equity level, and we have financed it, yet we have access to 50% of the megawatts that are being generated from that asset, even though we have a much lower equity percentage. And then through financing, the capital employed that we actually have is some $60 million to $70 million. So, it's a great example of how we can get access to megawatts without necessarily owning the entire asset. And part of how we're going to look to be rigorous in how we deploy capital and hopefully maximizing the value we achieve from the capital we deployed, some of that will go into the assets, but we don't believe all of it needs to go into the assets for us to achieve the level of power sales that we intend to achieve in the coming decades. Thank you, Biraj. Next question.
Operator: We'll move to our next question from Christopher Kuplent from Bank of America. Please go ahead.
Christopher Kuplent: Thank you. Good afternoon. Jessica, a question for you. We've seen a number of peers issue more and more hybrid bonds over the years. And just wondered how you look at the capital markets, your cost of debt and why Shell wouldn't consider doing something similar. And maybe a question for both of you. In your new disclosure, and thanks for that, I think it's very welcome. What would you highlight as the area that you feel has been at least understood where you're trying to emphasize more of your communication also looking to what looks like a new segmentation going forward? Thank you.
Jessica Uhl: Great. Thank you. Starting with your first question on hybrid and perhaps just a warning to Wael. I'll say a couple of things on disclosures but also an opportunity for you to add it as well. From a financing perspective for the group, I look to have the most efficient capital structure and to access the most efficient sources of capital. And with debt, in particular, we've been able to secure incredibly competitive debt financing over the years. And so the nature of the debt that we have and the pricing that we have, I think, is what we're looking for and has served us well. Hybrids can have a role in company's capital structures. At this moment in time, I see it as more expensive financing and not necessarily a good tool for us to be using. There may be circumstances for other companies or at other moments in time where that may look like a reasonable option. But given the company that we are and how we're able to secure financing, with our existing balance sheet and relationships, the need to move toward hybrid debt and more expensive financing hasn't seemed necessary or necessarily appropriate for us at this point in time. So, I'll leave it there and hand to -- actually, I'm sorry, on the disclosures piece, maybe a couple of quick things. Really, really excited about the new disclosures we're providing. And hopefully, you're finding them useful, everyone on the call. And please provide feedback to us because we are trying to provide the most useful and insightful disclosures that we can. I think there's a number of areas that I think are important. EBITDA, I think, is a good number for us to be focusing on for the business -- for the company and for each of the businesses. I think the peeling apart, the FAS 69 piece, and getting people to fully understand, particularly our integrated gas business and what's happening from a midstream perspective and further downstream in integrated gas. Expanding the disclosures on the marketing business and ensuring we get full value for what we're achieving in retail and lubricants and other parts of our marketing and commercial businesses, those would be some of the ones off the top of my head I would quickly reference, but Wael?
Wael Sawan: Thank you, Jessica. Chris, thanks for the question. And thanks to many of you who have provided feedback to us because this is a topic that we have tried to engage to make sure that we are providing what you need. So, thank you for that. If I touch maybe on each of the business very quickly, I'd say, in upstream, an important part of the disclosure is some of the realization around gas pricing. Typically, we used to give one gas price that combined integrated gas and upstream. Of course, integrated gas has much more exposure to export volumes and the like, less so in an upstream basis. And so we've tried to separate those two to be able to give you clarity and allow you to model accordingly. And we've also tried to break down the production by region. That also gives you a sense of how we're moving against our strategy, how we're focusing on the core positions, the divestments in some of the assets that are no longer core in our portfolio. And you see the balance of oil and gas production swinging into those core countries. I think in integrated gas, a key disclosure has been the strong correlation to Brent and to IG and to JCC-3, and you'll see that coming through $1.2 billion for each on a $10 per barrel increase. And then maybe finally, I think the one that in the downstream might pick up is the refining margin. That's a difficult one. And a long formula, I'm sure, but I think hopefully gives you a sense of at least how we correlate against various markers.
Jessica Uhl: Thanks, Wael. Holly, next question.
Operator: We'll move to our next question from Irene Himona from Societe General. Please go ahead.
Irene Himona: Thank you. Good afternoon. Two questions from me as well. So, firstly, Jessica, you achieved your full-year targeted asset disposals of $4 billion. And apologies if I missed this, but are you updating us today with new guidance for 2021 after disposals, please? And then secondly, well on the upstream restructuring, is there a timetable for completing the restructuring and starting to implement the lean operating model? Is it already been implemented? I wasn't quite clear on whether it's yet to come or if it's happening already. And I think you mentioned the $7 unit cost target. Why $7? Is that closer to the cost structure of the nine core areas? What is the significance of that? Thank you.
Jessica Uhl: Irene, thanks for the questions, and I'll start with the first in terms of the delivery on the divestment program. Clearly, a good start to the year in the first quarter, achieving some $3.5 billion in proceeds from divestments a number of assets looking to move out of the portfolio were accelerated. We're finding, I think, in general, a pretty supportive environment and that playing through in terms of delivering on the divestment program. And importantly, that they are the assets that were on the list in terms of how we're trying to upgrade the portfolio, some of what Wael was referring to earlier. And importantly, achieving good value on those disposals as well. So, our target is to do some $4 billion on average per year. It can be a bit lumpy. We can do a bit more in one year and a bit less in the next, but kind of through the cycle, if you will, to achieve the $4 billion. So obviously, feel very good in terms of where we sit today, but we're not going to upgrade or update the target at this point in time. So, the four per year on average is a good number. I hope to be above that this year. There's that potential, but we're not going to upgrade the target and to think of it as a kind of on average number per year. Thank you. Wael?
Wael Sawan: Thank you, Jessica. Irene, thank you for the question. Let me start maybe with the last of the questions, why the $7 per barrel. I think importantly, what we try to do in every single one of our assets is to use the benchmarks that are available in the market to be able to see what is the true potential of that asset that we have. And when we look at the aspired portfolio that we want to try to get to and we look at the potential of that portfolio, we see it as being around $7 a barrel. So, it's very much based not on a generic number that we compare but really asset-specific and really understanding everything from supply chain ability to productivity of labor and so on and so forth. And so that's how we get to that number. And every single asset, not only in upstream, by the way, across the organization needs to know what its potential is. And that's how Ben and Jessica, for example, will challenge me in the quarterly reviews around how are we doing against the potential of those assets. If I then move toward the Upstream restructuring, I think it's important to recognize, it is fully in flow already. And the lean operating model is only a portion of a much bigger change. The lean operating model has been in operation since the beginning of the year. We haven't waited for that. And we're seeing some real, real benefits already looking at potentially up to 30% reduction, for example, in our Netherlands joint venture and similar reductions in Norway. So, we are really sort of running that model very differently. But the restructuring is a lot more than just lean versus core. Firstly, we're in the midst of people appointments at the moment. And so by August of this year, a number of folks will have left Shell, and that will that is going to be the future organization moving forward. We're reexamining all of our workflows at the moment. So, how we do work, how we integrate and fully leverage the full strength of Shell, how do we really embed digital into the way we work to simplify the work and make sure that we are unlocking the full value that sits in those assets. And so, it is a journey that indeed has started. Lean is functional already. But I would say that this is a journey of a few years with some important milestones coming in August. Another milestone, I would say, end of 2022 and then real ambitions to achieve the step-change in performance over the next two to three years.
Jessica Uhl: Great. Thanks, Wael. Next question, please.
Operator: We'll now take our next question from Roger Read from Wells Fargo. Please go ahead. Your line is open.
Roger Read: Hey, thank you. Good morning. Or I guess good afternoon to you. It's still morning over here in the States. Just to jump in, Jessica, on the $65 billion, and it sounds like you're probably going to exceed reducing debt by more than the $65 billion target. And probably coming back around on one of the questions asked earlier about overall capital structure. Five years out, significantly less than $65 billion? Or you think that's the right sort of net debt level to think about the company overall? And I'm thinking especially with the energy transition, potentially creates a little more uncertainty whether or not you'd want to lower debt level as we progress through that?
Jessica Uhl: Great. I was waiting for the next question, Roger, but I'll take this one.
Roger Read: Sorry.
Jessica Uhl: No, it's okay.
Roger Read: Over here, we ask one, and we wait for you to answer and ask another.
Jessica Uhl: Okay, good. So, in terms of the $65 billion, that was always a waypoint. It wasn't kind of the destination. So, we would look to continue to reduce debt over time. We look at debt levels relative to the overall strength of the balance sheet and the company, in particular, the relationship of debt levels to cash flow levels would be one element, as well as gearing and others. So, it is always relative to kind of other things that are happening. But given the company we are today and our current understanding, moving more toward something like 55 would be directionally is what I would say based on the company we are today, but it is a function of the cash we're generating as a company in the circumstances that we're operating in, which may mean it could be slightly higher or slightly lower. The other thing I would say is that the balance sheet is a -- gives us resiliency. It also gives us flexibility. So, you can also choose to just create a bit more flexibility and even stronger balance sheet, depending on where you are in the cycle that might be the most prudent and wise thing to do. So directionally, 65 was a milestone. We'll keep deleveraging for the reasons you mentioned, but also to build an inherent financial flexibility in the organization, as well as to provide the right level of resiliency for the company.
Roger Read: Okay. And then my follow-up question on the energy transition and just sort of looking at some of the additional disclosures you were -- you put into the presentation here, I think specifically, Slide 26. So, integrated gas, and it shows destination pipeline, LNG, and gas to liquids. I guess I've always thought of gas to liquids as a fairly energy-intensive process. And so, as you think about the energy transition and moving things along, is that the type of project that ultimately doesn't score particularly well? Or am I misinterpreting the overall process there?
Jessica Uhl: Thank you, Roger. And given that Wael used to run the GTL asset, I'll let you answer that question.
Wael Sawan: Sure. Thank you, Jessica. Roger, thank you for the question. I think, firstly, you're right to say that the carbon intensity of the GTL process is higher than, for example, the LNG one. Recently, we have announced that we are not going to go forward with more GTL projects in the portfolio. We will really focus on maximizing the value out of our existing portfolio of GTL projects, which is mainly Qatar but also in Malaysia. And that has multiple reasons, including just being very choiceful in the way we allocate capital. But also, of course, every single one of our investment decisions right now, as has been for a while, has a significant carbon intensity lens on it as well. And therefore, that's an element that we keep in mind. The fact that it is carbon-intensive, we continue to look at opportunities as has, for example, the Pearl GTL team in Qatar to be able to operate within envelopes that minimize the carbon intensity of those assets, and they've been making good progress. And we continue, of course, to explore opportunities at the right time for, for example, carbon capture and sequestration, where possible and supported by partners. And so I think strategically don't expect new GTL projects. But indeed, we continue to make sure that we manage what we have at the moment.
Jessica Uhl: Good. And one thing I would add is the emissions profile of a GTL product is actually quite good. So, when it's burned, it burns as a cleaner fuel. So, if you want to lower NOX and SOX emissions when the fuel is used, it's actually a preferred product. So, this is some of the dilemmas that can emerge through the energy transition. You can have a more intensive process, but the actual product once it's used, can have more beneficial environmental attributes to it, which many of our customers appreciate. Next question, please.
Operator: We will now move to our next question from Lucas Herrmann from Exane. Please go ahead. Your line is open.
Lucas Herrmann: Thanks very much. And Jessica and Wael, thanks for the opportunity, and it's great to see another strong quarter where the cash flow is excellent. And I mean, if I look back over the last two years, your cash flow has tended to be or your operating cash has tended to be 30% greater than your largest peer. But you still continue you trade at broadly half that largest peer's value and you also trade more lowly than most of your European peers, and I appreciate that you're doing a lot in terms of the information you're providing us with and the strategy that you've adopted around the individual businesses, in my mind, anyway, seems sensible and very coherent. But is there a point at which you decide that what the market is really telling you is the structure of Shell today just doesn't work for it? And that actually, the value that you're leaving or the value that you're effectively taking away from shareholders by not reconsidering business structure is excessive relative to the potential maybe over the long term but the adjacencies in your business and your business structure overall offers to the broader group's ability to transition. In short, at what point do you decide that you've got to do more to have the value that sits in your business, although I think many people believe sit in your business recognized in your share price.
Jessica Uhl: Lucas, thank you for that really important question. And let me start by saying that I personally believe that we are undervalued in the market and that the fundamentals of the company aren't being fully reflected in our equity value in the markets. We have consistently delivered industry-leading cash flows by business. And in totality, we've got key differentiated strengths in our portfolio today. And frankly, I believe we've got the right strategy to ensure that we create value far in the future as well. So, Lucas, I think we've spent a lot of time over the last couple of years thinking about the energy transition, thinking about the future of energy and the role that we can play. And where we've landed is we have unique differentiated capabilities that we think are needed, are necessary, and will make a difference in terms of providing real solutions as soon as possible but also creating differentiated value. Our presence throughout the energy value chain, the existing assets that we have, starting from the strength of the cash flow we generate in upstream to the strength of our LNG business from a midstream perspective and the strength of our chemicals business, which is coming through and as we reshape our refining assets for a low-carbon future, we can use existing assets and existing capabilities to provide the fuel that's needed in the future, leveraging over 100 years of expertise across that entire value chain. So I think, Lucas, it's a story about continuing to demonstrate, day in and day out, we've got the right strategy, we've got the right assets, we've got the right people, and you can see that in our financials. And we'll provide more information. We'll provide more disclosure. We're going to push hard on transparency. And I think as these dots get connected better by society in terms of understanding what the energy transition will require, what we have to offer, our ability to manage these challenging complex issues, and to redesign energy systems are things that few companies can do that Shell is uniquely placed to do. And I believe that we stay at it. We focus on the things that we can control, which is our strategy, which is our portfolio, which is our performance. And I think these things will come right and will be reflected in our share price over time. Next question, please.
Operator: We will now move to our final question from James Hubbard from Deutsche Bank. Please go ahead.
James Hubbard: Yes. Hi. Thank you. The number 2.5 million charge points by 2030 just catches my eye. And I know you sell, as mentioned earlier, four times the oil product of what you actually produce, but still 2.5 million, that's like 25 times the target of your nearest peer, that I'm aware of anyway. And then I look at the detail, and it says, including owned by customers and third parties. So, I guess I'm just wondering those 2.5 million charge points, does that have value in its own right, like each charge point will make you money even if it's owned by customers, third parties, franchisee holders? Or is it following on from the question earlier, just -- that's just part of your trading strategy, by having the outlet, you can sit in the middle and have this monster trading business in electrons the way that you have in oil at the moment? So, that's my first question. And my second question is, again, just following on from the question just now about LNG and GTL. Your slide does kind of imply an LNG into GTL chain, and it's kind of beggar's belief that that's actually the plan. So, did I read that wrong? Is there some project or you're thinking of feeding LNG into GTL? Thank you. Bye-bye.
Jessica Uhl: No. On the second point -- so apologies that the chart wasn't sufficiently clear on that point. So, now it's gas into GTL. It is not LNG into GTL. So, that was -- so sorry for any confusion that may have caused. On the first question in terms of the ambition on the charge points, there are a lot of numbers that fly around with respect to charge points, and all companies are representing it differently. There are different flavors. So, there are charge points that our Shell-owned and operated at our sites. There are charge points that are owned and operated by Shell not at our sites. There are charge points that our partners own but perhaps maybe we operate and then there's getting access to a network, a little bit like your bank card, you can use any -- the American term is ATM, any cash distribution side, and your bank provides that interface for you. So, this 2.5 million touches on all of those different models. And a couple of points, there's different value propositions with each of those models, ones on our site will have their own proposition. Ubitricity, which we purchased in the quarter, that's going to give charging at light poles in cities, so creating more infrastructure in intense urban areas and to allow people to charge cars, which is, I think, a really interesting and innovative solution for a growing need across the world. Each of those will have their own value proposition. As you said, though, in the middle of all of this, which is core to Shell's value creation today and how we conceive of our value creation in the future is our trading and supply and how we match demand and supply, whether it be going back to the question at the beginning on these the virtual power plants or how we work with these different charging stations, those will be sources of demand. Those will be essentially short electron positions. We will have different long electron positions, and we use trading to optimize that. And these charge points and different degrees will offer that platform as well in terms of us being able to maximize the value we can get associated with the electrons that flow through those charge points. So, hopefully, I've answered both of your questions. And I think that was our last question for today. So, I'm going to go ahead and close down and say thank you for your questions and for joining the call today. I hope this is giving you insights into our performance in the first quarter in 2021. We will host our Annual General Meeting on May 18th and we look forward to seeing you at our Upstream Strategy Day on May 25th. Have a great rest of the week, and please stay safe, everyone.
Operator: And this concludes the session. Thank you, for your participation. You may now leave the call.